Operator: Good morning and welcome to Gartner's Third Quarter 2017 Earnings Call. This call will include a discussion of Q3 2017 financial results as well as an updated outlook for 2017. After prepared remarks, you will have an opportunity to ask questions. In addition to today's press release, the company has provided an accompanying presentation as a reference point for investors and analysts. Both the press release and the presentation are available on the investor website at investor.gartner.com. Certain statements made on this call may constitute forward-looking statements. Forward-looking statements can vary materially from actual results and are subject to a number of risks and uncertainties, including those contained in the company's 2016 Annual Report on Form 10-K and Quarterly Report on Form 10-Q as well as in other filings with the SEC. The company encourages all of you to review the risk factors listed in these documents. With that, I would like to hand over the call over to Gartner's Chief Executive Officer, Gene Hall. Mr. Hall, you can please proceed.
Eugene A. Hall - Gartner, Inc.: Good morning and welcome to our quarterly earnings call. Thanks for joining us. We delivered another strong quarter of double-digit growth in Q3 of 2017. Our business continues to perform well. We're making great progress on the integration of Gartner and CEB. And I continue to be excited about our business, our prospects for growth and our strategy to drive value for our shareholders over the long term. We're living in exciting times. Technology is opening up new markets and creating innovative ways to serve customers. Technology-driven disruption is providing exponential growth opportunities and threats to entire industries. Cybersecurity is a pervasive and critical risk. Technology is also becoming a critical factor in every function of the enterprise, supply chain; sales; marketing; HR; finance; legal; and the rest. And if that's not enough, the business environment continues to be mixed, exchange rates; commodity prices; global macroeconomic growth; and geopolitical dislocations. Business leaders have never faced the rate of change they face today. They need help to deal with these difficult issues. The combination of CEB and Gartner gives us unique capabilities to help clients address these issues with every function of the business. We're providing the best of both businesses, research methodologies, sales and service best practices, operations and together, we will be better than either company was alone. So, the combination of Gartner plus CEB will provide a quantum leap in our ability to help clients. In a moment, Craig will take you through the details of our Q3 results, but before he does, I'd like to take you through a few performance highlights. Now, as we've done our previous earnings calls and because of ongoing exchange rate volatility, I'll review these highlights in FX-neutral terms. The traditional Gartner business continues to deliver outstanding performance. For the third quarter of 2017, traditional Gartner revenues grew 14% year-over-year. The traditional Gartner Research business is doing great. In Q3, we delivered 16% revenue growth and 15% contract value growth with double-digit increases in every region across every size company and in virtually every industry. And we achieved these strong results despite a two-week disruption in one of our major hubs due to Hurricane Irma and also a higher-than-usual level of M&A in our clients. Our sales force continues to be our largest investment. At the end of Q3, the traditional Gartner sales force grew 17% year-over-year. Sales force growth accelerated as we identified and hired a large number of highly qualified sales people, allowing us to reduce our number of open sales territories to near record low levels. This provides a great foundation for future growth. As I mentioned in our last call, improving sales productivity remains a top priority for us. Over the past few years, we've implemented a number of programs to improve sales productivity and those actions are working. We drove another consecutive quarter of sales productivity improvement. Sales productivity for Q3 2017 improved 11% organically over the same quarter last year. And looking forward, our sales pipeline is strong. The Gartner Consulting segment had a mixed quarter in Q3. Most of the business performed well. Two specific teams had operational problems that we're addressing. One team had a higher-than-usual number of managing partner open territories, which, of course, impacts our bookings. The second team has a relatively high number of new managing partners and we expect their performance will improve as they gain experience. In addition, our contract optimization business, which often has swings between quarters, was down 11% year-over-year. Looking forward, we've begun addressing these issues and our Consulting new business pipeline is strong. The traditional Gartner Events business had a very strong quarter with a 25% increase in revenues, including an 18% increase in same event revenues. In short, across the traditional Gartner business, we've got great momentum and we expect to maintain this momentum as we continue to make progress with the integration of CEB. Now, turn to the traditional CEB businesses. Contract value for the traditional CEB research and advisory business experienced a 1% decline in Q3, in line with our expectations. We're investing in this business to fuel future growth. We're hiring approximately 80 new sales professionals for this organization, and they'll be in territory early in 2018. We introduced several new seat-based products that will deliver more value to functional business leaders in HR, finance, sales, legal and, of course, IT. We already made sales in all of these new products, and we have plans to introduce more new products at the beginning of 2018. We expanded service teams to drive retention of these new products. Our sales and service support team has increased by about 40% through a combination of filling open positions and new roles to support growth and improve retention and retraining our teams on operational best practices and building service capabilities to support retention and growth. Taken together, these are broad-based initiatives that leverage Gartner best practices and build on the strong CEB foundation, creating a platform for enhanced growth and profitability. As we discussed last quarter, we're executing as many of the larger changes as practical in 2017, which could create some speed bumps along the way. While there could be near-term challenges, we're confident that these are the right actions to position us best for the long term. I recently met with the sales leaders from this organization. They have incredible enthusiasm and support for the changes we're making and the opportunities for growth in this business. Let me now turn to the TA & Other segment. Adjusted revenue in the TA & Other segment declined by 4% compared to a year-ago quarter. This is primarily due to a large number of open sales territories in the Talent Assessment business from prior to the acquisition. We've ramped up recruiting and substantially reduced the number of open territories, which positions us well for the future. In addition, we've hired a strong leader experienced in talent assessment to lead this business. CEB Talent Assessment is a leading global provider of talent assessment solutions. They have best-in-class portfolio assessment tools, benchmark data and predictive technologies that equip organizations to assess, select and develop the right people for the right roles. As I discussed last quarter, we established CEB's Talent Assessment as a standalone business. On October 4, we announced that we're exploring and evaluating strategic alternatives for this business. This business is an industry leader in attractive markets. However, it's not aligned with core focus of the rest of Gartner. Our goal is to determine how best to support innovation, product development and long-term growth for the talent assessment business, and we'll keep you updated on our progress. We've also made some leadership changes at Gartner. Some of you may have seen that our former Head of Consulting, PA Waern, announced his retirement. PA was with Gartner for 19 years and led our Consulting business for more than a decade. Under PA's leadership, we transformed the Consulting organization to align with research in supporting the mission-critical priorities of our clients. In addition, PA led the development of our managing partner model, which significantly improved the value we deliver to our clients. We all wish him best in his retirement. To build on PA's successes, I'm thrilled to announce that Scott Hensel has joined Gartner as Executive Vice President of Consulting, and he'll join Gartner's Operating Committee, reporting to me. Scott comes to Gartner from Terex, where he led their services business and was a member of their Executive Leadership team. Prior to Terex, Scott spent 14 years at McKinsey, serving clients in high-tech, industrial and business service sectors. He brings a wealth of experience in business transformation, strategy development, sales effectiveness and operations and organizational design. I'm excited about the level of operational execution and continuous improvement and innovation that Scott will bring to this important business segment. We're now in the fourth quarter, which is when we run the majority of our Symposium/ITxpo conference series. This remains our flagship event. It's held in eight locations around the world, designed to support CIOs and senior IT executives. I recently attended our U.S.-based event in Orlando, Florida, where thousands of CIOs convened to share experiences and gain key critical insights that helped them achieve their mission critical priorities. The CIOs there were inspired and felt empowered to succeed as a result of the insights we delivered at this important event. As you might imagine, this creates even more opportunity for our sales organization, and they're very excited as well. In summary, I continue to be extremely excited about our business, our prospects for growth and our strategy to drive value for our shareholders over the long term. The combination of CEB and Gartner will create a quantum leap in capability and sustained extraordinary growth over the long term. Together, we'll be able to address the mission-critical priorities of every function across the enterprise with leading insights from the best of the two organizations. Our outstanding Q3 results demonstrate our operational effectiveness on a global scale. We know the right things to do to drive success in our business. We're executing on a very aggressive integration plan, and in aggregate, it's going great. We're living in exciting times, and it's an exciting time for Gartner. With that, I'll turn it over to Craig Safian, our Chief Financial Officer.
Craig W. Safian - Gartner, Inc.: Thank you, Gene. And good morning, everyone. Because of the tremendous value we provide to our clients around the world, the investments we are making to capture our vast market opportunity, our focus on strong operational execution and our exceptional business model, we delivered another strong quarter. On a combined basis, our adjusted revenue grew 11% in the third quarter of 2017. As Gene detailed, we are also progressing in accordance with our plans to integrate CEB into the Gartner business. Please keep in mind that as we discuss our results, we will be looking at the total combined company on both a GAAP revenue and adjusted revenue basis. As we discussed last quarter, the only difference is that adjusted revenue excludes the deferred revenue fair value adjustment that is required as a part of purchase accounting. We will also, where appropriate or applicable, drill into the traditional Gartner or traditional CEB business performance. You will also find an in-depth overview of our Q3 performance in a presentation on our Investor Relations website. Turning to our Q3 performance. Our year-over-year financial performance for the quarter included total combined company adjusted revenue growth of 11%, driven by 15% growth for the traditional Gartner business and a 1% decline for the acquired CEB business; combined adjusted EBITDA of $149 million and combined adjusted diluted EPS of $0.65 per share, which is $0.13 above the top-end of our guidance range for the quarter. Please note that our third quarter 2017 GAAP revenues of $828 million includes an approximately $64 million deferred revenue adjustment. Therefore, on an adjusted basis, our revenue for the quarter was $892 million. Our exceptional business model continues to create a consistently high-level of free cash flow conversion. On a combined basis, over the last rolling four quarters, our free cash flow conversion was 139% of adjusted net income. I'll now discuss our third quarter combined business segment results and P&L in depth, highlighting the performance of the traditional Gartner and acquired CEB business where appropriate before turning to our balance sheet and cash flow dynamics. I'll close with remarks on our updated 2017 guidance. We will then be happy to take your questions. Please note that my segment discussion will focus on the adjusted revenue and adjusted contribution margin performance in Q3, therefore, adding back the deferred revenue fair value adjustment I just mentioned. Please also note that we've included a lot of this information in the presentation on our IR website. Beginning with Research. On a combined basis, adjusted Research revenue grew 13% in the third quarter. The adjusted gross contribution margin for Research was 69% or an 80 basis point decline compared to the third quarter of 2016 on a comparable basis. This modest decline is primarily due to our newer-acquired businesses such as Capterra, SCM World and L2 having lower gross contribution margins than our traditional business. I'll now focus on the traditional Gartner Research business. Adjusted revenues increased by 18% in the third quarter. Acquisitions, primarily L2 and Machina Research, contributed to adjusted revenue growth in the quarter by less than 2 points. We also had a roughly 1 point benefit from foreign exchange. Our other metrics for the traditional Gartner Research business also remained very strong with 15% CV growth, accelerating sales productivity and improvements in our retention metrics. Total contract value was $2.063 billion as of the end of Q3. FX neutral growth of 15% versus the prior year, roughly in line with the growth we delivered last quarter. For reference in comparison, our Q3 2016 total contract value at current year FX rates was $1.790 billion. On an organic basis, excluding the contribution of L2, which we acquired in March 2017, total contract value growth for the traditional Gartner Research would have been 14% on an FX-neutral basis, also consistent with the growth we delivered last quarter. We continue to drive contract value growth through strong retention rates and consistent growth in new business. From a traditional Gartner Research perspective, client retention was 83%, up 70 basis points from the third quarter of 2016 and flat on a sequential basis. Wallet retention ended at 104% for the quarter, up by 80 basis points year-on-year and roughly flat on a sequential basis. Both retention figures are close to our all-time highs. New business growth for traditional Gartner Research remained strong, up 11% year-on-year in Q3. The new business mix is consistent with prior quarters and remains balanced between new clients and sales of additional services and upgrades through existing clients. And as always, we also benefit from our annual price increases. Our new business growth reflects our success in penetrating our vast market opportunity with both new and existing client enterprises. We ended the third quarter with 11,338 enterprise clients, up 6% compared to Q3 2016. The average spend for enterprise also continues to grow. It now stands at $182,000 per enterprise, up 8% versus prior year on an FX-neutral basis. This increase in average spend reflects our ability to drive CEB growth through both new and existing enterprises. Turning to sales productivity for the traditional Gartner Research sales force, over the last rolling four quarters, we delivered $272 million of FX-neutral net contract value. When divided by our beginning-of-period head count, which was 2,331 quota-bearing heads, our rolling four-quarter productivity per account executive was $117,000. Excluding the impact of the L2 acquisition, sales productivity was up 11% year-on-year and 1% sequentially. As always, we remain highly focused on improving our sales productivity. We remain confident that the initiatives around recruiting, training and tools that we have implemented to drive productivity will positively impact our results over both the short and long term. Turning to the performance of CEB research in the quarter, CEB adjusted research revenues were flat year-on-year in Q3, a modest improvement from the year-on-year decline in Q2. We saw many positives with CEB's other research metrics in the quarter despite a modest decline in contract value. We ended Q3 with $571 million of traditional CEB research CV, down 1% on a year-over-year basis. In addition, wallet retention, also using Gartner's methodology, ended the quarter at 93%, roughly flat compared to the year-ago quarter. While retention rates continue to show improvement, we did see a slowdown in new business as we implemented a number of Gartner best practices around pricing and contract terms. We also introduced a host of new seat-based products. As we alluded to last quarter, we believe there would be speed bumps along the way as we integrated the CEB and Gartner businesses. We are confident these impacts are temporary and that the actions we are taking position us well to drive growth and value in the future. Moving to Events, on a combined basis, adjusted Events revenues increased by 25% year-on-year in Q3. Events' third quarter adjusted gross contribution margin was 36%, up by approximately 40 basis points compared to the year-ago quarter. CEB Events revenue increased 16% year-over-year in a seasonally low quarter for that business. The traditional Gartner Events business had a very strong quarter in Q3 with a 25% year-on-year increase in revenues, driven by an 18% increase in the same event revenues. We continued to see strength in attendees reporting a 21% increase in same event attendees. Foreign exchange had a roughly 3-point benefit on our traditional Gartner Events reported revenues in the third quarter. Turning to Consulting, third quarter Consulting revenues declined by 2% on a reported basis and declined 3% on an FX-neutral basis. In the labor-based business, revenues declined 1% versus Q3 of last year, while the contract optimization business was down 11%. On the labor-based side, global head count of 682 was up 8% and we had 134 managing partners at the end of Q3, a 17% increase over the year-ago quarter. Broadly speaking, the MP strategy is working. As Gene described, we've experienced some operational challenges related to managing partner productivity on two teams. We'll be temporarily slowing down our MP growth on those two teams, so that we can focus on improving productivity. Once we see signs of improvement, we'll look again at increasing capacity on those teams. Backlog, the key leading indicator of future revenue growth for our Consulting business ended the quarter at $91 million, up 2% year-on-year. Our bookings performance strengthened in September and our Q4 pipeline looks strong as well. Consulting gross contribution margin decreased by 230 basis points year-on-year, primarily due to modest softness in the contract optimization business and a slight decline in utilization. Turning to Talent Assessment & Other, adjusted revenue in the TA & Other segment declined by 4% compared to the year-ago quarter. This was consistent with the recent trends of our TA business. Both bookings and revenues have been impacted by a combination of a large number of open territories that existed at the time of the acquisition and the mix of lower tenured sales people as we filled those open territories. As we discussed on our last call, we also established TA as a standalone business. This caused some short-term disruptions that we feel are now behind us. As Gene mentioned in early October, we decided to explore and evaluate strategic alternatives for the CEB Talent Assessment business, formerly known as SHL. This business makes up around two-thirds of the TA & Other segment and approximately 5% of total Gartner company adjusted revenues. We are less than one month into the process and I'm pleased to report that it is progressing well. We will provide further updates as and when appropriate. Moving down the income statement, on a combined basis, SG&A increased by 13% year-over-year in the third quarter. FX had a roughly 1 point impact on the growth rate. Our sales force continues to be our largest investment and as of the end of the third quarter, the traditional Gartner business had 2,716 quota-bearing sales associates. This is an increase of 385 or 17% from a year ago. While this is an acceleration from prior quarters, the increase is primarily due to the fact that we were able to reduce the level of open territories in the quarter, which should help us in Q4 and subsequent quarters as well. The acquisition of CEB adds more than 500 frontline quota-bearing research sales associates. We've been focused on filling open head count and are beginning to grow sales head count. We will leverage our proven best practices around recruiting, training and tools to drive accelerated CV growth and improved productivity. As a growth company and now as a much larger growth company, we continue to invest in areas such as recruiting, technology, facilities and other areas to support our strategy of delivering sustained double-digit growth over the long term. At the same time, we continue to make good progress on cost synergies related to the CEB acquisition, specifically in the G&A functions. Through the investments we've already made and plan to make through the balance of the year to drive accelerated growth in CEB's contract value, we continue to expect modest net synergy flow-through in 2017. We continue to work the cost synergy side of the equation and we'll report back on our progress in subsequent quarters. Adjusted EBITDA for the third quarter was $149 million, which is essentially flat on a combined year-over-year basis. This result is driven by growth for traditional Gartner EBITDA, offset by year-over-year decline to traditional CEB EBITDA. Moving down the income statement, depreciation charges increased year-over-year in the quarter, predominantly reflecting the addition of CEB, while amortization and integration charges were up significantly, again related to the transaction. Our GAAP tax rate for the quarter was 22.2%. Adjusting for acquisition and non-recurring charges, our adjusted tax rate for the quarter was 29.3%. The lower-than-expected adjusted tax rate impacted our Q3 adjusted EPS by about $0.05. The lower rate resulted largely from the timing of certain tax costs. We expect our full-year GAAP tax rate to be approximately 33% to 34% and approximately 31% to 32% on an adjusted basis. GAAP diluted earnings per share was negative $0.53 in the third quarter. Our GAAP EPS figure also includes $1.18 of non-GAAP adjustments. Therefore on an adjusted basis, our EPS in Q3 was $0.65 or $0.13 above the high-end of our guidance range. There are three primary reasons for our EPS beat in the quarter. First, EBITDA performance was better than forecasted. This contributed approximately $0.04 of upside. Second, below EBITDA, we have lower-than-forecasted depreciation as a result of purchase accounting adjustments as well as other incentive credits, which weren't forecasted. These two items contributed about $0.04 of upside. And third, our lower tax rate, as I just discussed, impacted our quarterly earnings per share by approximately $0.05. Turning now to cash, in Q3, operating cash flow was $150 million compared to $120 million for standalone Gartner in the year-ago quarter. Our combined operating cash flow increased 16% year-over-year. It is also important to note that our Q3 operating cash flow includes significant acquisition and integration payments, which we adjust out for our free cash flow calculation. Pivoting to free cash flow, Q3 2017 CapEx was $34 million and Q3 cash acquisition and integration payments were approximately $29 million. This yields Q3 free cash flow of $144 million, approximately 14% higher when compared to combined company free cash flow in Q3 2016. The timing of our contract value growth is a key driver of our quarterly free cash flow performance and our strong Research results from March Q2 and across Q3 have begun converting to free cash flow. Turning to the balance sheet, relative to the approximately $3.6 billion of gross debt we had as of April 5, we have repaid around $245 million by the end of Q3 with a quarter-ending gross debt level of approximately $3.4 billion. From a net debt perspective, we had less than $2.8 billion at the end of Q3, which translates to approximately 4 times leverage on a combined last 12 months of adjusted EBITDA. Given the favorable cash flow characteristics of the combined company, we remained firmly on schedule to delever to approximately 3 times gross leverage within the first two to three years of closing the acquisition. Turning now to guidance, slide 13 of the presentation provides you with our updated outlook for 2017. As is our practice, our EPS guidance is on both a GAAP and adjusted basis. On a high level, we've modestly increased our adjusted revenue outlook and tightened our outlook for the full-year adjusted EBITDA and cash flow. At the same time, we've increased our EPS outlook on an adjusted EPS basis. And I'll also remind you that our full-year guidance includes 12 months of Gartner plus 9 months of CEB results. Starting with revenue, for 2017, we expect combined company adjusted revenue of approximately $3.5 billion. This is comprised of the following. For Research, we expect combined adjusted revenues of between $2.6 billion and $2.625 billion. For the traditional Gartner Research business, we expect to continue our trend of mid-teen revenue growth in 2017. This is obviously supported by the very strong contract value growth we just reported. For Consulting, we expect revenues of between $320 million and $335 million. For Events, we expect the adjusted revenues of between $330 million and $345 million. For the traditional Gartner Events business, we continue to expect double-digit adjusted revenue growth in 2017. And for TA & Other, we expect adjusted revenue of between $210 million and $225 million. Again, these are adjusted revenue ranges. You will find the reconciliation of our adjusted revenue guidance ranges to GAAP revenue on slide 14 of the presentation. Turning to adjusted EBITDA, as mentioned, we have narrowed our expected adjusted EBITDA range for 2017, trimming the high-end of our previous guidance range by $10 million. This modest reduction to the midpoint of our adjusted EBITDA guidance is driven by a few dynamics, the most notable of which relates to continued challenges in the TA business. As both Gene and I discussed earlier, the situation is getting markedly better as we fill open territories, but those improvements will not have an impact on the Q4 P&L. As I commented last quarter, our GAAP 2017 earnings per share is expected to be significantly impacted by acquisition and integration charges, of which the vast majority are non-cash in nature. Slide 15 of the presentation reconciles the per share difference between our updated GAAP and adjusted EPS guidance ranges. We now expect the after-tax impact of these adjustments to total approximately $4.20 at the midpoint of our guidance. Putting this all together, we now expect full-year 2017 adjusted EPS of between $3.39 and $3.50 per share, which is a $0.05 increase to the midpoint of our adjusted EPS guidance. Slide 17 details the key assumptions below EBITDA that we have used to calculate our updated adjusted EPS outlook. For our tax rate, we project an annual effective rate for GAAP of approximately 33% to 34% and for adjusted earnings of approximately 31% to 32%. In addition, our tax rate may also vary from quarter-to-quarter due to the projected geographic mix of earnings, the impact of ASU 2016-09 related to stock-based awards as well as the timing of certain items. Finally, our EPS guidance is based on weighted average fully diluted share count of approximately 89.9 million to 90.5 million shares for the full-year 2017. Before concluding, I'd like to provide a little more color around our fourth quarter outlook. As you know, the fourth quarter is our seasonally largest quarter. It's our largest Events and Consulting quarter. I'll also remind you that during the fourth quarter of 2016, we had some softness in both our Events and Consulting businesses. As we have rolled into the fourth quarter of 2017, we have great momentum in the traditional Gartner Research business and our NCVI performance through 2017 flows into the P&L. We also had easier compares for both the Events and Consulting businesses, and that flows through as well. We are expecting to finish Q4 in the year strongly, consistent with our performance through the first three quarters of 2017. In closing, we've continued our strong 2017 performance through the third quarter. Our Research business delivered another quarter of mid-teens growth and contract value growth was 15%. We also saw acceleration in sales productivity, and our retention metrics are near all-time highs. Our Events business is on track to deliver double-digit growth in 2017, and the adjustments we are making in Consulting should position us strongly for the future. We are running a process to explore strategic alternatives for the Talent Assessment business and look forward to reporting back to you as that progresses. The traditional Gartner business is performing very well. The addition of CEB further strengthens our ability to capture the vast market opportunity ahead of us as we are now able to address the mission critical priorities of virtually all functional business leaders across every industry and size of enterprise worldwide. As Gene mentioned, the integration is going exceptionally well. We set aggressive timelines, and we are achieving or beating them. As discussed last quarter, this has given us the confidence to accelerate a number of investments, such as growing the CEB sales force to accelerate our ability to capture the vast market opportunity that exists. We've done all of that while driving acceleration of performance in the traditional Gartner business. Now, I'll turn the call back over to the operator, and we'll be happy to take your questions. Operator?
Operator: Your first question comes from the line of Tim McHugh, William Blair. Please proceed.
Tim J. McHugh - William Blair & Co. LLC: Thank you. First, just on the CEB, I appreciate the color on. It was new sales, I guess, that were a little weaker and I know you gave a few reasons. But just, I guess, in general, can you elaborate on were there particular regions, particular types of clients? I guess, anymore color on and, I guess, how the business was impacted by some of the changes that you're making.
Eugene A. Hall - Gartner, Inc.: Hey, Tim. It's Gene. So, the CEB integration is going really well, and our plan calls for making the most disruptive changes, the biggest changes during 2017. We'd like to get that stuff out of the way. And so, we've made changes to new products as we talked about. We made changes to contract terms, we have changes to the ability to discount. So, lots of changes that we know position us well for the long term. That – when we make all those changes, sales people have to learn what those changes are and adapt with the journey and learn to actually work with those new clients. And so, anytime you make that kind of change, there's going to be, as people learn, stops all the old products, starts on the new products and new terms, et cetera. There is going to be some time it takes to adapt to that. What we saw actually has been fabulous, which is that our CD (36:26) growth in the CEB business was kind of on trend despite making all of those changes. And so, as Craig mentioned, retention was up, new business was down a little bit. I think given the rate of change, we have to be kind of – we've seen minimal disruption, given the extreme or given the significant changes we've made that position us very well for the future. So, overall, I'd say, it's kind of in the ballpark much better than we might have expected given the degree of change.
Tim J. McHugh - William Blair & Co. LLC: Do you have any sense or any signals about how long that disruption in the new business side can last, I guess, as people adjust?
Eugene A. Hall - Gartner, Inc.: So, we don't know, but I'd say that I'm quite optimistic on what we've seen to-date that – if we look at kind of pipelines, how things are going, look, first, do people understand the changes that we're trying to make? Absolutely they understand it. Are they committed to making those changes? Do they believe in those changes, the sales people? Absolutely. In fact, that is going better than I would have expected. And if I look at the pipelines that people have developed with these new products, they're ahead of where I would have expected as well. And so, you can't be for sure, but I'd say the leading indicator is very positive.
Craig W. Safian - Gartner, Inc.: And, Tim, it's Craig. The one other thing I'd mention is we talked about this last quarter too, we've really only been in the market with the new seat-based products for a very short period of time. And so, it's too early to give full market color or market feedback. What we can say is we've actually had sales in each and every one of those new seat-based products and again to Gene's point, in looking at pipeline and activity, those things look fairly favorable as well.
Tim J. McHugh - William Blair & Co. LLC: Okay. And then, one last one, I think you mentioned you're starting to grow the CEB sales force. How quickly at this point are you growing it? Even kind of as you exit the year, what would be the type of number?
Eugene A. Hall - Gartner, Inc.: So, I'd give you flavor for it. Their existing sales force is a little over 500...
Craig W. Safian - Gartner, Inc.: A little over 500.
Eugene A. Hall - Gartner, Inc.: ...salespeople. And as I mentioned in my remarks, both last time and this time, we're expecting to start 2018 with at least 80 more salespeople. And so, it gives you a flavor for the growth rate there. In addition to that, there are people that do sales and service support that are more junior people, who've joined this Gartner for a long time. That team increased the size by about 40%. It's not total 40% growth positions, because there were a lot of open positions, but between closing the open positions that were already there and then the additional growth, it's quite substantial. So, we'll go into 2018 with a sales force that's larger in those two dimensions.
Craig W. Safian - Gartner, Inc.: And I think, Tim, just to add to that point, the same can be said on the traditional Gartner sell side as well, where we filled more open territories than we've historically done. In fact, we're probably – we're at historical low levels of open territories, which is a positive. And again, that should start flowing through or gives us a bigger army, if you will, as we head into the fourth quarter, but most notably as we head into 2018.
Tim J. McHugh - William Blair & Co. LLC: Great. That's very helpful. Thank you.
Operator: Thank you. Your next question comes from the line of Gary Bisbee, RBC Capital Markets. Please proceed.
Gary Bisbee - RBC Capital Markets LLC: Hey, guys. Good morning. Just a follow-up on the questions on sales in CEB, can you give us some flavor about how you think about the folks that are going through your sales training and then selling the CEB product? How do we think about when they get to sort of a normalized productivity? Is a year a reasonable range? I know you've talked about your legacy business. The second year is a lot better than the first and it grows for a while, but is there a learning curve that's going to be different? Is the training you're providing different or should we think that the investments you begin to make mid-year this year really should be impacting CV at some point in 2018? Thanks.
Eugene A. Hall - Gartner, Inc.: So, Gary, it's Gene. So, when we've done acquisitions in the past and brought sales people and make similar changes, which we've done in places like when we bought AMR, for example, who had – we did enterprise agreements, same kind of changes, which did META, we found that, and this is – we found the same thing with CEB here, that the salespeople are very talented and knowledgeable, know how to sell a syndicated research kind of product. And so, it's not like starting with a salesperson from a different industry off the street. That's just starting with someone who understands what we're trying to do, understands their market. And so, while someone off the street might take three years to get fully up to speed, what we found in previous acquisitions is that once we train people in the new terms and the new products that they get up to speed quite quickly and much faster than the three years. And so, I'm expecting – and CEB again, we found the salespeople to be just terrific. They really understand what they're doing, quite talented sales people. And so, I'd expect the transition is going to be much quicker than if we had people off the street.
Craig W. Safian - Gartner, Inc.: And the other thing I'd add, Gary, good morning, is fundamentally the new seat-based products, because they do leverage best of both research from the traditional CEB side and from a traditional Gartner side and because they are seat-based products sold to a specific individual and then servicing a specific individual are, by their very nature, higher value products. And so, what we're doing is transforming the way that the CEB sales force has sold, but they are selling what we believe to be a significantly higher value product over the long term as well.
Gary Bisbee - RBC Capital Markets LLC: And what have you done with the product specifically to make it that "higher value product"? You talked at the time of the acquisition about adding some mobile capabilities, overtime working in some Gartner Research concepts and ultimately just – that's the option if you're a new customer to buy it that way. But are there other changes to the product that are going to start to allow you to upgrade that into the existing base or should we think that's more of a longer-term strategy? Thanks.
Eugene A. Hall - Gartner, Inc.: So, the fundamental changes to the product, first, the product is a seat-based product, which is an important difference, because it's about providing value to that individual. And so, right off the bat, you start off with a product that provides more value, because it's a value to a specific person. And so, just through design of the product starts with it. The second thing we've done is that we have added content from both Gartner and from CEB and that's true with every functions. So, our CFO is in here, I'll use finance as an example, many of the issues in finance are technology-related as well. We had existing Gartner Research that's very relevant for CFOs and their teams making decisions on technology. And it's a big area issue. That was not a strong point of CEBs. And so, if you take the traditional CEB content plus you add in the technology-oriented content, that would be relevant for a CFO or Head of HR or any of the other roles within a company, you have more content in addition to a product that's structured better, you actually have additional content. And the third thing we've done is in terms of research processes, Gartner and CEB had different kinds of processes. We've taken both of those – all the new products have both the traditional Gartner Research process, which was about analysts doing expert-based research, combine that with the CEB, which is about more using case studies and research based on what clients are actually doing, that adds more value than again either one did alone. And so, these new products are a combination – better structured. It has a combination of both technology clients as well as business content. And in addition to that, it has both types of research. And so, fundamentally, these are much higher value products than people had in the past. And so, we expect they will sell really well. And, in fact, the early returns are great. Sales force is very – the CEB sales force is very excited about these new products and we expect they'll retain better as well. And then, lastly, and we've already seen this of the new sales, there's going to be a mix of sales and we've already seen clients that were CEB clients with the old products saying, hey, these new products are great. I want to upgrade to those new products and so you can upgrade right there as well. (45:03) upgrade, but I think when people see the value, this is the experiences we've had in the past as well.
Gary Bisbee - RBC Capital Markets LLC: Great. Thank you.
Operator: Thank you. Your next question comes from the line of Jeff Meuler, Baird. Please proceed.
Jeff P. Meuler - Robert W. Baird & Co., Inc.: Yeah. Thank you. I know Gartner's always about continuous improvement, but in terms of the major changes you're planning to make to the CEB, I guess, sales processes and products, have they been made at this point or are you halfway through rolling them out? Just any commentary on that.
Eugene A. Hall - Gartner, Inc.: So, at Gartner, we have a lot of really good approaches in recruiting, training and tools for salespeople, and it will take time to enlist all of those. It'll take a couple years, probably, to enlist all of those. What we're doing is starting with the highest leverage ones first. So, we're kind of taking the low-hanging fruit first, ones that have the highest impact. And so, we're focused on making sure we execute those things first. And so, what you'll see is that while it'll take a couple years to get everything fully implemented, we're focused on the highest leverage items first and so we get the biggest bang from those things as well.
Jeff P. Meuler - Robert W. Baird & Co., Inc.: Okay. And then, on the acceleration in the traditional Gartner sales force head count growth and I know that it's closing some previously open territories, but anything in particular that's driving that new recruiting strategies, compensation plans or just why the step-up?
Eugene A. Hall - Gartner, Inc.: So, two things, really. One is that we know that we sell more in a territory that has a salesperson that compare with one that doesn't have a salesperson. (46:51), because you have people that either don't perform and so they're not a good fit with Gartner or they get promoted, become managers or go to a more senior sales role, they get another area. So, you always have some level of turnover and we've been conscious of that. So, one of the strategies we've had is how can we be innovative and reduce those number of open sales territories. And it has to do with how we recruit, how long the recruiting pipeline is, things like that. And we've done some fundamental innovations there that have allowed us to focus on reducing those territories. The second piece of it is and, again, this has to do with innovations in our recruiting process, is that we have been continually improving our ability to identify really talented sales people. And so, the two things that made this come together now are, first, a purposeful explicit strategy of making sure we have fewer open sales territories in designing, recruiting and how we run sales to do that, and then, secondly, improvements in our whole recruiting approach and process that has identified really – people that are really a great fit, which has allowed us to accelerate that at this point in time. And so, you can think about it, again, we're still aiming to grow the sales force at about 13% and the other 4% is closing territories that otherwise would have been open. And, of course, like I said, we're somewhere in a higher (48:12) retention with that.
Jeff P. Meuler - Robert W. Baird & Co., Inc.: Okay. And then, just finally, with the accelerated sales force side growth on the traditional IT side and then, is the 80 and 500 totally comparable? Are you saying 16% growth in the CEB side and then, I guess, related to that with teens growth in both, any early read on how to start thinking about 2018 margins?
Eugene A. Hall - Gartner, Inc.: So, on the first part of your question, there is a bit over 500 people, varies day-to-day, but about 517 salespeople in the traditional CEB selling organization. So, we've added 80. And so, you can do the math on what percent growth that is. Now, obviously, the 80 people will be in their first year as a salesperson and we know they sell less in their first year than they do in their second year and less in their second year than they do in their third year. And so, this is an investment that's going to pay off over the next three years and thereafter, but will accelerate over the next three years. And so, you can calculate kind of – you can estimate what the growth is there. Obviously, it'll take time to ramp up. We're very happy with the quality. Because we're planning to having the in-territory already trained, ready to go January 1, a lot these people actually are already on board and in training and the quality of sales people is just terrific. They are a great fit for the business. And then, the second part of your question, I'll let Craig answer.
Craig W. Safian - Gartner, Inc.: So, I mean the other thing I'd just add on Gene's point is on the 80, we are – that is not 80 in one area, one function. So, it's actually spread out across the various functional sales teams that we have selling on the business side. So, I think HR, finance, marketing, et cetera and it's also distributed geographically as well. So, it sounds like a big number in terms of the absolute growth rate, but again like we do on the Gartner side, we are managing it, so that it's not wildly disruptive in terms of our go-to-market and selling processes for next year.
Eugene A. Hall - Gartner, Inc.: In fact, just on that point, we did the same thing there as we did in Gartner. In the past, you heard me talk about what determines the growth rate that we achieved in our sales force fundamentally is management capacity, where do we think we have managers that have the capacity to grow? And so, as we look at the CEB sales force, we looked at where there is management capacity. And so, just adding the 80 or so sales people had to do with looking at an individual first-line manager, where are their first-line managers throughout the organization that had additional capacity. They're performing well and they have a capacity to take on additional head count growth or people that we could promote to managers that we think would have that capacity as well. So, this was done in a bottoms-up way just as we've always done in Gartner.
Craig W. Safian - Gartner, Inc.: And, Jeff, the second part of your question, just remind me again.
Jeff P. Meuler - Robert W. Baird & Co., Inc.: Just the implications for an early 2018 margin outlook with accelerating head count growth on both sides.
Craig W. Safian - Gartner, Inc.: Yeah. So, I mean, the way to think about that is on the Gartner side, we've been focused on adding in areas where we are doing the best and obviously slowing down in areas that are a little more challenged. The good news is, as our average productivity has shown improvement for the last couple of quarters, that gives us the confidence in more areas quite frankly. And again, we do expect given that we've seen this increase in the second half of 2017, they are in territory and they will be selling in Q4 and obviously they're in their first year. But as they progress in their tenure, you can look to see nice improvements over time in their overall productivity. We're not at a point yet where we're giving 2018 guidance, but I do think the way to think about it, particularly on the traditional Gartner side is, we will enter 2018 at current course and speed with a larger army and we are very focused on driving the productivity of that army as we head into 2018.
Jeff P. Meuler - Robert W. Baird & Co., Inc.: Okay. Thank you both.
Operator: Your next question comes from the line of Anj Singh, Credit Suisse. Please proceed.
Anjaneya K. Singh - Credit Suisse Securities (USA) LLC: Hi. Good morning. Thanks for taking my questions. I have a two-part one to start off, following back up on the softer new sales at CEB. Is this more of the sales force needing to ramp up to the new changes? Is it more sort of the pricing that's a pushback, the contract structure being a pushback from clients or are they all two interrelated of factors to parse it out that way? And, Gene, I realized there was a – a while ago, that Gartner underwent this change, but is the reception or pushback, the disruptions you're seeing in line with what you had seen back then or are there some other complications that you'd call out?
Eugene A. Hall - Gartner, Inc.: So, on the question about the new business impact, what I'd say is the impact is very limited and that there's a combination of factors. Like for example, I mentioned earlier, some of the – there were bunch of open territories with the sales and support teams. Those actually helped generate some of the new business by identifying opportunities and helping salespeople. So, I think that – and we'd now fill those, which is great. And then, secondly, in terms of the rate – the change, the sales force as I said earlier, yeah, there's two things you want to focus on. One is do they understand and want to do the changes? And secondly, do they actually have the skills to make those changes? We kind of call it will and skill. On the will side, we are 100% there. I mean I think from the sales leaders down to the front-line salespeople, that people totally understand what we're trying to do and are committed to it and that's gone at a much faster pace and has much better acceptance than I would have even expected. And then, also on the skill side, where it takes time to adjust your selling process and again I'd say that's actually going faster than I would have expected. And so, I would characterize the kind of change in new business, maybe half of it is due to a sort of the open more junior support people, which is now filled, and other half of it, and this is not a big problem anyway, was due to the adjusting to the new world we live in. And so, you asked me to compare it to, when we made these exchanges at Gartner, but also with Gartner – after Gartner, we had META, we've bought META, we had AMR and we've bought AMR, had Burton, we've bought got Burton. So, we've gone through this journey a lot and especially compared to when we did this with Gartner, our ability to help people understand what the changes are and develop their enthusiasm around and why is that good for them, is great. In fact, if I compare it, this is going much faster than any of the other ones we've done. Despite being very large, it's growing much faster than any of the ones we've done. We knew it was going to be a lot because it's such a large organization compared to our previous acquisitions. So, we put a real focus on change management, and that's really paying off. And so, if I compare it to the past, either what we did at Gartner or with other smaller acquisitions, this is going very smoothly and very quickly.
Craig W. Safian - Gartner, Inc.: Anj, I think the other thing I'd add is we talked about this last quarter, and we talked about it, again, this quarter. These are absolutely the right things to do to support and drive future sustained growth. And, I think what we're seeing in terms of dislocation or impact is kind of noisy a little bit in terms of the overall results. Again, with all these changes, as Gene mentioned earlier, CEB contract value is still kind of on-trend to what its performance had been prior to the acquisition, while we're getting ourselves ready to actually tune up the machine and drive growth into the future. So, we're 100% committed that these are the right things to do. Again, we've done it on the Gartner side historically. We've run the same kind of plays when we've done other similar type of acquisitions that had similar business characteristics to what we've inherited or what we acquired from the CEB deal. And so, again, we're thinking about this around laying the foundation for future growth and, again, having seat-based products, having them with the right kind of contract terms, having them with pricing discipline are all the right things to do as we head into the future.
Anjaneya K. Singh - Credit Suisse Securities (USA) LLC: Okay. Got it. That's great color. A quick one on EBITDA, the change there, I just wanted to make sure I understood that correctly. Is that entirely being driven by the softer TA outlook or is there some impact from the core CEB business performance or your higher sales force head count at Gartner?
Craig W. Safian - Gartner, Inc.: Yeah. It's a great question, Anj. What's happening there is predominantly related to the TA business. As I mentioned in the prepared remarks, there's a number of dynamics happening in there. Some significantly smaller and going in both directions quite frankly. Really, probably I'd highlight one other specific item, which we alluded to in our Consulting comments, is we are still seeing a little bit of a productivity lag. And that obviously we can only burn the revenue that we have in backlog. And while we did see some nice uptick or uptick rather in the backlog position from Q2 to Q3, we're still not exactly where we'd love to be on those two teams. And so, there is a little bit of a drag related to the EBITDA adjustment from Consulting. But, again, the way to think about it is it's predominantly related to the continued trends on a TA business, and there's a variety of other little or smaller puts and takes in there as well.
Anjaneya K. Singh - Credit Suisse Securities (USA) LLC: Okay. Thank you.
Operator: Thank you. Your next question comes from the line of Joe Foresi, Cantor Fitzgerald. Please proceed.
Mike Reid - Cantor Fitzgerald Securities: Hey, guys. This is Mike Reid on for Joe. Thanks for taking our call. We noticed this year in the Events segment, we're seeing a good uptick in the number of attendees per event. Could you give us a little color on what you think is driving that uptick there?
Eugene A. Hall - Gartner, Inc.: Hey. It's Gene. So, there's two things that are driving the uptick. One is that, for our research clients, many of them get an entitlement to go to an event, and we know when they go to an event, they get a lot of value in that event. And so, we had growth in the research business, which has more people that are entitled and then, of those people that are entitled, a higher percentage of them going to the event because of our encouragement, because we know they get value. That's one piece of it. Then, the second piece of Events growth is that we know that people get a lot of value going to the event even if they're not a research client and those that come could be prospective future research clients. And so, we have a very active and quite innovative program to sell tickets to people that are not existing research clients, again, both for the value they get initially as well as because they learn about Gartner and they could be research clients in the future. And so, it's a combination of those things, both the – getting more of our existing clients and secondly having really terrific marketing programs that drive people that have challenges in their IT business to go to those events. And by the way, we're going to do the same thing on the CEB side. CEB did not have those capabilities. And CEB, again, has great events. We're going to be (01:00:12) marketing programs to drive a lot higher percentage of non-research clients to the CEB events.
Craig W. Safian - Gartner, Inc.: And, Mike, fundamentally, our reason for being in the Events business is to provide that amazing experience for the end-users. And Joe was at our Orlando event and many of you on the call were at our Orlando event as well. That's the kind of experience that we want to provide to all of our attendees that go to our events across the entire portfolio. And it's just a great opportunity for, as Gene mentioned, Gartner seat holders to go and actually experience the research live and for non-Gartner seat holders to go and experience the research live. And the reason that they're willing to carve out a couple days of their busy schedules and buying a ticket is because they get so much value at that event.
Mike Reid - Cantor Fitzgerald Securities: Got it. Thanks. And then, in Consulting, you said some of the issues revolved around just a couple of teams. Have you ever given a number of total teams that are in the Consulting business?
Craig W. Safian - Gartner, Inc.: Yeah. So, the way to think about it is we're organized by geography and practice and some are organized just by geography and some places, where we're larger, we're organized by a combination of region or geography and practice. What I'd say is we talked about two specific teams here. It's out of several across the entire Consulting organization. So, as Gene mentioned in his comments, and I think I did as well, broadly speaking, the Consulting business is performing well. We're driving very strong managing partner productivity, broadly speaking again, across the business. We have two pockets of challenges. Gene described in detail the specific challenges for each of those teams. We are working them, and we expect to have those things in much better shape as we roll into 2018.
Mike Reid - Cantor Fitzgerald Securities: Got it. Thanks, guys.
Operator: Your next question comes from the line of Hamzah Mazari from Macquarie. Please proceed.
Hamzah Mazari - Macquarie Capital (USA), Inc.: Hey, good morning. Thank you. The first question is just on the CEB sales force growth of 16%, is that number big enough? And the reason I ask is if I look at CEB, they didn't invest in SG&A at all. In 2015, it was 1% growth; 2016, it was low-single digits. And so, just curious, is there a catch-up spend on the CEB sales force you need to do or do you feel comfortable with current capacity in the system?
Eugene A. Hall - Gartner, Inc.: So, we aspire to have really good double-digit growth with CEB for a long time, for decades. So, that's going to take a lot of sales force growth. And so, again, I think in terms of sales capacity, we'd love to have it 10 times as big as it is today and we will some day. But, in the short term, we felt like, as we get started, that to open up 2018 – let me back up. So, as I said, the way we determine how fast to grow the sales force, what's our operational capability is fundamentally limited by the bandwidth of our management team. As we look to the management team at CEB today that we could get this level of growth, which we think will be on or ahead of track of what we would have expected. And that won't be the last time we had sales people at CEB. We will keep adding as we see management capacity there. And so, I take it as this is the first big – the first trajectory change, not the last.
Craig W. Safian - Gartner, Inc.: Yeah, Hamzah, it's Craig. Just to add to that, I think your observation around lack of or limited investment is 100% spot on. And that's probably true across a number of other areas of the business, but particularly on the sales side, but again, what we need to do, given the fact that we are implementing so much change, again we have to manage how much change and disruption teams can handle at one time. And again what we've done and we've learned this through experience on our own side is you have to find that right balance and the additional 80 right now in terms of that, first foray of significant growth, coupled with all the other operational change we're implementing is what we believe to be the right balance right now. If we are performing better, we'll figure out how to go faster. If it's not going to plan, we'll figure out how to tweak it to make it go faster. But think of this as kind of foray one in terms of injecting growth and investment into supporting longer-term sustainable growth for the CEB contract value business.
Hamzah Mazari - Macquarie Capital (USA), Inc.: Good. That's very helpful. Just a follow-up and I'll turn it over, just on the Consulting business, could you remind us of the lag from when you hire a new managing partner to when you start seeing business come in? Is that lag different than on the sales force side in the legacy Research business? Just curious on the Consulting side. Thank you.
Eugene A. Hall - Gartner, Inc.: So, when we hire a new managing partner, those managing partners more than pay for themselves in their first year and their productivity continues to improve over the next two years. So, it's pretty much a wrap-up like sales, which should take three years typically to get the full productivity. But the people we hire in general do very well their first year as well.
Craig W. Safian - Gartner, Inc.: And the one difference we generally have on the managing partner side as compared to the research sell side is a portion of our managing partners, our promotions is from within. And so, in those cases, while their "more junior" from managing partner perspective, they know Gartner, they know our capabilities, they have relationships with Gartner clients, et cetera. So, those, while generally smaller numbers, tend to ramp up to productivity a little bit more quickly than people coming from the outside. So, we have a mix and again it varies by region. So, there's really no answer around how much is promotion versus how much is hired externally, but we are dealing with those two populations as we grow our managing partner capacity.
Hamzah Mazari - Macquarie Capital (USA), Inc.: Great. Thank you.
Operator: Thank you. Your next question comes from the line of Toni Kaplan, Morgan Stanley. Please proceed.
Toni M. Kaplan - Morgan Stanley & Co. LLC: Hi. Good morning. I was just wondering if you saw any increase in the demand in cyber research following the Equifax data breach and just some examples of maybe what products might apply in that case where people would be focused on trying to increase their cybersecurity.
Eugene A. Hall - Gartner, Inc.: So, Toni, cybersecurity is clearly a very hot area for us. We have a security conference that is growing at very rapid rates and the demand in our security analyst is kind of at capacity, because of – as you said, it's so visible in the world today and every company needs to deal with it. So, it's clearly a very hot topic area for us.
Craig W. Safian - Gartner, Inc.: And, Toni, the one thing I'd say from a product perspective, and this is sort of the beauty of the Gartner product portfolio, is you're buying an annual subscription and you have access to all that security content when you need it. But tomorrow, the issue might not be security, it might be moving to the cloud or it might be digitalizing your business. And so, again, we're not generally speaking of consulting organization, where we're going in with spot solutions. We do have a consulting team that actually does help with those kinds of things, but our research business, again, which is three quarters of our overall business, it's really about selling the annual subscription and giving our clients the view that the value proposition is broad and deep when they need it. And so, when security is a big deal, they have access to that security stuff. When cloud is a big deal for them, they have access to the cloud stuff. It certainly doesn't hurt as a conversation starter around, hey, you read about the Equifax breach last night or last week, rather, we have great stuff that can actually help you out, that's absolutely true. But, again, the beauty of our products and offerings are it's a 12-month subscription with access to everything when you want it and on demand.
Toni M. Kaplan - Morgan Stanley & Co. LLC: Great. And then, Gene, you mentioned contract optimization was down 11% this quarter. Is there anything that you would attribute that to based on what you're hearing from customers or, I know that tends to be volatile, so could this quarter just be a little bit of an anomaly and not really more of a trend in delaying purchases?
Craig W. Safian - Gartner, Inc.: Yeah. Toni, it's Craig. I think it's absolutely the latter as you just described it. Just to put it in perspective, Q3 generally is a pretty small quarter for our contract optimization business. So, about a 11% down was worth roughly $1 million. And on a year-to-date basis, our contract optimization business is actually up nicely year-over-year. So, it was a little bit of a blip in Q3, nothing we'd say or see from a trend perspective, in fact probably opposite, given on a year-to-date basis that we are performing better than last year comparably.
Toni M. Kaplan - Morgan Stanley & Co. LLC: Okay. Great. And just one last one for me, in Research, despite all of the challenges that we've all been talking about on – earlier in this call on the CEB side, you did raise the Research guidance – revenue guidance a bit. So, can you talk about maybe what was particularly better than what you previously expected on the legacy Gartner side? Thanks.
Craig W. Safian - Gartner, Inc.: Yeah, Toni. It was a pretty modest increase on a very large number. I think two things there. One is the traditional Gartner Research performance has improved consistently over the course of this year. Yeah, so we saw acceleration from Q1 to Q2 up to 15% growth. We stated 15% growth in Q3. And that, as we talked about a little bit, as we described our Q4 guidance, that is flowing through. That's the bulk of it. As always, we're adjusting for latest foreign exchange rates and things like that. And so, there's a little bit of modest tweaking on each of the revenue lines, but from a research perspective, it's really predominantly driven by our year-to-date NCVI performance on the traditional Gartner business.
Toni M. Kaplan - Morgan Stanley & Co. LLC: Perfect. Thanks.
Operator: Your next question comes from the line of Peter Appert, Piper Jaffray. Please proceed.
Unknown Speaker: Hey, guys. This is actually (01:11:57). So, I just had a quick question about any momentum in recent strategic initiatives like a rollout of D&B Hoovers and other product initiatives you guys have? Any color you can provide on those would be great.
Eugene A. Hall - Gartner, Inc.: I'm sorry Kevin (01:12:12), could you repeat that? I didn't catch all that come across (01:12:16).
Unknown Speaker: Sorry. Yeah, I was asking about recent strategic initiatives like the rollout of D&B Hoovers and the products. Any color you could provide on those? Hello?
Eugene A. Hall - Gartner, Inc.: Yeah. We're here.
Unknown Speaker: Can you hear me? Sorry.
Eugene A. Hall - Gartner, Inc.: That's not part of our products.
Unknown Speaker: Okay. Sorry.
Eugene A. Hall - Gartner, Inc.: So, that's not what we anticipate.
Unknown Speaker: Yes. Okay. And then, so CEB total contract value down and are there some underlying, I guess, effect – the trends affecting CEB research business. I know CEB has been stronger with larger clients. And I guess with the industry overall moving from seat-based pricing – enterprise pricing and you guys moving in the opposite direction, so were you in the process of penetrating smaller clients, which is where CEB particularly has not done as well?
Eugene A. Hall - Gartner, Inc.: So, two things I'd say. One is that Gartner, we serve all size clients. We serve everything from the largest companies, enterprises of the world, down to – enterprise base down to small enterprises. And we've done it very successfully. All segments have grown at great double-digit rates, quarter effort for many, many, many quarters. And so, we're good at all segments. We're taking that same expertise and applying it to CEB as well. They do have a business that's comparable to that sort of midsized enterprises, just like Gartner does. The talent there is terrific. As we've introduced products just as we – so, we've introduced new products not only for each functional area, but also we have distinct products for large enterprises versus the smaller ones. Because of the combination I think of products that are tailored, it's the same thing we've done in Gartner that made us successful, which is combination of products that are tailored for those specific market segments being the midsize segment as well and applying the same processes that we do in – have at traditional Gartner. We feel really good that CEB will perform really well in the midsize enterprise base just as well as Gartner had.
Unknown Speaker: All right. Thank you, guys.
Operator: Thank you. I would now like to turn the call over to Mr. Hall for closing remarks.
Eugene A. Hall - Gartner, Inc.: So, to summarize the key points for today's call, first, the combination of CEB and Gartner creates a quantum leap in capability and sustained extraordinary growth over the long term. We'll be able to address the mission critical priorities for every function across the enterprise with leading insights from the best of the both of two organizations. During Q3, the performance of traditional Gartner business continued to accelerate. We functionally integrated CEB and launched a host of new seat-based products. We introduced new commercial terms, accelerated sales force hiring and we're exploring strategic alternatives for the Talent Assessment business. Thanks for join us today and we look forward to updating you again next quarter.
Operator: Thank you. That concludes Gartner's third quarter 2017 earnings call. Thank you.